Operator: Good day everyone, and welcome to today’s program Standard Motor Products’ Second Quarter Earnings Release. At this time, all participants are in a listen-only mode. Later, you will have the opportunity to ask questions during the question-and-answer session. I will be standing by if you need any assistance. And please note this call maybe recorded. It is now my pleasure to turn the conference over to Mr. Jim Burke. Please go ahead, sir?
James J. Burke: Okay. Thank you, Erica. Good morning, and welcome to Standard Motor Products’ second quarter 2013 conference call. In attendance from the company are Larry Sills, Chief Executive Officer, and myself Jim Burke, Chief Financial Officer. As a preliminary note, I would like to point out that some of the material we will be discussing today may include forward-looking statements regarding our business and expected financial results. When we use words like anticipate, believe, estimate or expect, these are generally forward-looking statements. Although we believe that the expectations reflected in these forward-looking statements are reasonable, they are based on information currently available to us, and certain assumptions made by us, and we cannot assure you that they will prove correct. You should also read our filings with the Securities and Exchange Commission for a discussion of the risks and uncertainties that could cause our actual results to differ from our forward-looking statements. I will review the financial highlights, and then turn it over to Larry followed by Q&A. Overall, we are very pleased with our second quarter performance. Looking at our top line, consolidated net sales in Q2 2013 were $270.1 million, up $1.2 million or 0.5%. For the six months, sales were $500.8 million, up $20.2 million or 4.2%. However, the sales change by segment is more revealing to our Q2 performance. Engine Management net sales in Q2 2013 were $182.1 million, up $9.4 million or 5.4%. For six months, sales were $357.6 million, up $21.9 million or 6.5%. As stated previously, we anticipate that engine management should mirror industry trends in the low to mid single-digits for the balance of the year. Temperature control net sales were negatively impacted in 2013 by the cool and wet spring, and also against the comparison of a very warm 2012. Temp control net sales in Q2 2013 were $86.7 million, down $6.4 million or 6.9%. For the six months, net sales were $139.4 million, up $1 million, or 0.8%. 2013 results also included a benefit from CWI sales from January to April not present last year. The CWI benefit in Q2 for the month of April, sales were $4.9 million and the year-to-date covering the four months, January to April, sales were $16.6 million. The key takeaway is, despite the reduction in temp control sales, we were able to still deliver consolidated earnings improvement primarily from gross margin expansion. Consolidated gross margin dollars in Q2 improved $8.5 million at 28.8%, up three points. The gross margin dollars year-to-date improved $19.7 million at 28.7% up 2.9 points. Looking at Engine Management margin in Q2, dollars improved $8.1 million at 29.9%, up 3.1 points and year-to-date improved $16.8 million at 29.7% up 3.1 points. Engine Management margin trends have shown steady improvements since 2009 improving 500 basis points from 24.7% in 2009 to 29.7% in 2013. We strive for continuous improvement year-over-year. Temperature control gross margin in Q2 improved $0.50 million at 23.5% up 2.1 points and year-to-date improved $2.9 million at 22.5% up 1.9 points. We are very pleased with the margin expansion, which added incremental gross margin dollars. This reflects the benefits of integrating our CWI acquisition into Four Seasons. We are very pleased with the efforts by both the Engine Management and Temp teams to deliver overall 300 basis point gross margin improvements in the second quarter. Consolidated SG&A expenses in Q2 increased $4 million to 18.7% of net sales or a 17.3% last year. And year-to-date increased $8.8 million to 20% of net sales versus 19% last year. The increase primarily reflects increases for CWI and SMP Europe SG&A expenses in the period for Q2 of $1 million and $3.2 million for year-to-date. We also had intangible amortization increase of $200,000 in Q2 and $600,000 year-to-date. Sequentially Q2 SG&A expenses were $50.6 million, up only $1 million over Q1 2013 SG&A expenses of $49.6 million, despite almost a $40 million sales increase in Q2 over Q1. Consolidated operating profit before restructuring and integration expenses and other income net in Q2 was $27.2 million, up $4.5 million at 10.1% of net sales, and year-to-date was $43.4 million, up $10.9 million at 8.7% of net sales. Our operating profit improved 1.6 points in Q2 and 1.9 points year-to-date. The net impact between GAAP and our non-GAAP adjustments in the quarter and year-to-date were negligible. Our non-GAAP diluted earnings per share in Q2 2013 were $0.70 versus $0.59 last year and year-to-date reflects $1.12 versus $0.82 last year. While we would have liked to deliver a more robust sales increase, we are pleased converting 0.5% sales increase in Q2 into 18.6% earnings per share improvement, and for year-to-date a 4.2% sales increase into a 36.6% earnings per share of improvement. Looking at the balance sheet, accounts receivable increased $53.2 million from December 2012 reflecting a seasonal nature of our business. Compared to June 2012, accounts receivable are down $6 million. Inventory increased $29.3 million against December 2012 and compared to June 2012 it’s also up $30.9 million. We intentionally build inventory levels for the CWI integration, which is now complete. We believe inventory will be reduced by year end from these elevated levels. Total debt increased $27.8 million from December 2012. For working capital needs, and for $12.8 million in acquisitions. Total debt however decreased $28.8 million compared to June 2012 levels. Our cash flow reflects a $12.4 million cash used from operations due to our accounts receivable and inventory build and partially offset by accounts payable and other liability increases. The change in operating activities for the first half 2013 versus 2012, is primarily the impact of inventory change. Investing activities includes $12.8 million for acquisitions in 2013, versus $38.6 million in the prior year. The financing activities reflects the change in our debt from the operating and investing activities already discussed. In summary, a good quarter reflecting gross margin expansion, and earnings improvement for the quarter and year-to-date. Thank you. I will now turn the call over to Larry before we open for Q&A.
Lawrence I. Sills: Okay, good morning, everybody. As Jim has said, we’re pleased with the second quarter. Operating income and earnings per share are well ahead for the quarter and for the six months. The gross margin is up three points also for the quarter and the six months. All this represents a continuing trend over the last several years of constant improvement, result of increased manufacturing, our investments in R&D and capital investments are paying off, continued growth and improvement in our low cost facilities of Mexico and Poland. And of course, we’ve done a good job in consolidating and streamlining our recent acquisitions. Third, we have had a nice increase in Engine Management sales 5.4% for the quarter, and 6.5% for the six months. The only disappointing area is Temp sales. Now, if you factor in the CWI volume, which we have for full year this year and only a partial year last year, we estimate apples-to-apples we’re down about 11% year-over-year. Now, this is strictly weather related with a cold spring, especially in the south which is the heart of the business and we’re comparing ourselves with a very strong and hot 2012. So let’s talk about the temp division for a second. It's a weather dependent business as we have said over and over. Sales can fluctuate plus or minus 20% in the given season depending on the weather. Given this, our strategy has been to structure this division such that, we do well in a cool summer and do very well in the hot summer. And we believe we are well on the way to achieving that. So, despite this cool weather so far our gross margin is up two points for the year, and our operating profit is down only slightly from 8.4% of sales to 8% in the second quarter and 5.7% to 4.7% for the six months. And again this is compared to very hard and strong 2012. Now the CWI acquisition is played a big part in this, it’s going very well. We have maintained 100% of the business. Our folks have done an excellent job in bringing together the two companies. We have fully integrated the manufacturing and the distribution in less than a year. The additional volume is helping us in our overall cost structure. For example, we have now doubled production of new compressors in Mexico and that also went off without a hitch. So, overall, this will not be a great season for Temp, but we are pleased with the direction that this division is taking. So, that’s the story for the second quarter, despite the decline in Temp sales, we are pleased with the results. The earnings are up, the cash flow is healthy, our customers are doing well, industry demographics remain positive, and we keep working to position ourselves for the future. So with that, thank you. And let’s open for questions.
Operator: (Operator Instructions) We’ll go first to the side of John Lovallo from Merrill Lynch. Please go ahead?
John Lovallo – Merrill Lynch: Hi, guys. Thanks for taking the call.
Lawrence I. Sills: Okay, good morning, John.
John Lovallo – Merrill Lynch: Good morning. First question, on one of the comments that was in the press release, you had mentioned customer consolidation around the Four Seasons and the CompressorWork brands, I just want to make sure I’m understanding that I mean, is that cannibalization or what else could be going on there?
Lawrence I. Sills: I’m not sure, I understand your point?
James J. Burke: Where we talked about. That’s where our customers were carrying both brands.
Lawrence I. Sills: Oh, now I understand. It’s not customer consolidation – okay yes many of customers, not all, but a decent number had both of us. Okay, they had CompressorWorks and they had Four Season. They took this – many of them have since restructured it because they didn’t need two parallel lines. So they attended to reduce one or the other to make a more balanced total approach that’s what I was referring to. And actually with that – with that shows so there has been we believe some inventory reduction out there and it is demonstrated in a number that we looked at and that the well – their sales at the door were down, our customers, we get reports from all the big ones. They were not down as much as we were down. And the difference would be inventory reduction, so that’s what we were referring to. Okay.
John Lovallo – Merrill Lynch: That’s helpful. Thank you. And then the other question would be on the other revenue line I think that comes as your Canadian business and maybe some corporate functions. Now is there any reason on a year-over-year basis that this should be structurally lower, I mean as anything changed there?
James J. Burke: John, no. That’s because when we are, it relates to intercompany sales that were moving through so that’s just the change from shipments up to our Canada location that we would have in there. So that business we’re distributing there was just a net impact of what we’re moving up there.
John Lovallo – Merrill Lynch: Great, thanks very much guys.
James J. Burke: You’re welcome.
Operator: And we’ll go next to the side of Brian Sponheimer from Gabelli & Company. Please go ahead sir.
Brian Sponheimer – Gabelli & Company: You guys will be happy for the second consecutive year on your call my car is in the shop for an air conditioning issue.
James J. Burke: Oh, thank you very much.
Brian Sponheimer – Gabelli & Company: Just a couple of questions here. Going back to the inventory and some of the inventory reductions, does this mean that should we get a relatively hot summer or start to the summer next year that not only will you have increased sales, but also potentially some inventory build out of your customers so maybe you get a double benefit?
James J. Burke: Well, we try to forecast that, but that’s not unreasonable what you are saying.
Brian Sponheimer – Gabelli & Company: Is that typically what you would see…
James J. Burke: Yeah, if they wind up – obviously if they winds up the year with less inventory than they had at the equivalent part a year ago that would be helpful, but again last year was a very, very hot summer, so, I’m not sure what the comparisons will be, but we will measure that and we will have a much better feel for that in a month or so.
Brian Sponheimer – Gabelli & Company: Okay. One of the larger aftermarket suppliers has gone out and so, if they want to potentially reverse the payable terms with their customers, the customers vis-à-vis how they get paid? How are you guys thinking about speaking to your customers now and potentially trying to reduce maybe days receivable outstanding, are you comfortable, where you are right now?
James J. Burke: Well, again, Brian, it is a very competitive marketplace. The customers that have factoring programs in place, again, they are carrying their inventories. We work within the industry with all of our customers there and again it a balance. There’s a many list of many items that we want to put them in a competitive position, but also for ourselves and any cost increases that we incur that becomes similar to like the commodity increase that we’re going to have to work with our customers on.
Brian Sponheimer – Gabelli & Company: Okay but there’s been no change in company strategy within the last 12 months or so.
James J. Burke: No.
Brian Sponheimer – Gabelli & Company: Okay. And I guess finally given where the balance sheet is right now, and how did the shares have performed, how are you thinking about returning capital to shareholders buy back dividends et cetera.
James J. Burke: Both. We have a authorization still outstanding for approximately $5.7 million so that we will consider again the market for share buyback and dividends we usually review it on an annual basis, but again our board – for board approval please just announcing the dividend, which has been steady at a quarterly dividend, and we look to continuously to move that towards a one third pay out ratio.
Brian Sponheimer – Gabelli & Company: Okay. Thanks guys.
James J. Burke: All right, thank you.
Operator: We’ll take our next question from Bret Jordan at BB&T Capital. Please go ahead?
Bret Jordan – BB&T Capital: Hi, good morning.
Lawrence I. Sills: Good morning Bret.
Bret Jordan – BB&T Capital: Couple of quick questions, I guess Engine Management is pretty strong. How do you look at that relative to the overall market performance in the category? Do you think you outperformed and I guess if you did was it market share gains or was it incremental products that you're offering in the category?
James J. Burke: I think it’s the whole bunch of things. I think we’re doing very well. We broadened our coverage. We’ve improved our catalog. We do a lot of things in the marketing level to help and I think we are doing comparatively well. So, I’m pleased with that.
Bret Jordan – BB&T Capital: Okay. The second half it sounds like you are guiding sort of in line with industry growth. Is there a reason that you wouldn’t continue to outperform the industry?
James J. Burke: Again, it’s – in our Engine Management category, we have close to 40,000 SKUs with multiple different product categories that move in back and forth. So cautiously we feel that it should be within the – should be there in the industry. If our product categories are doing better and hard parts have been doing slightly better, we are just being cautious.
Bret Jordan – BB&T Capital: Okay. And then a question on regional performance, you noted that the south was the toughest. If you look around the market where your product is selling through, you talked certainly about relative areas of geographic strength or weakness. I guess the South was the weakest. But maybe talk about the Eastern, Central and Western markets, were markets that were less cold and wet actually up in Temperature Control?
James J. Burke: It’s certainly within that analysis. Certainly, heart of the business is the south. It’s the Southern business. And I’m not sure what percentage of our total they represent, but they are the biggest factor by far. And yes they were down, an increases in Northeast can’t compensate for a drop in the south, because it’s a much smaller and – it’s a much smaller business and were much shorter season up here.
Lawrence I. Sills: What we saw over the fact two I guess it was down but it was the west – it was the western market up.
James J. Burke: Yeah, Bret this is Jim Burke. Really at this time we’re reflecting more or less customer inventory levels buying and it’s still difficult we always say on a quarter-over-quarter, it’s very difficult to measure we have to look at the overall seizure. So, that we’re looking at the April to June timeframe when it’s really just reflecting customer orders. Larry pointed out earlier that in the month of June, it was the first month that we slower our customer sales to match the June of the prior year again when it was a very hot 2012.
Bret Jordan – BB&T Capital Markets: Okay, great. And one last question you comment about the inventory consolidation between the Four Seasons and the CompressorWorks. Is that largely passes that consolidation continuing or is that consolidation do you saw in the second quarter?
James J. Burke: No, that’s happened, they restructured their inventories and that was a one time event and it’s happened.
Bret Jordan – BB&T Capital Markets: All right, great. Thank you.
James J. Burke: Thank you.
Operator: Again we’ll go next to the side of Adam Brooks from Sidoti & Company.
Adam Brooks – Sidoti & Company: Yes, good morning guys.
James J. Burke: Hi.
Adam Brooks – Sidoti & Company: Just want to get a sense on the Engine Management segment, you had about five years in a row now or you do 100 basis points to 150 basis points versus large margin expansion. And then it looks like we're interact for even better than that this year. Can you give us a sense of when that starts to slow and I know I ask every quarter, but kind of what ending we’re in as far as all the improvements you are making increase basic manufacturing just in the low cost countries?
James J. Burke: Again I hope it’s a double header and we’re – we strive continuously for the improvements. But, what that means is – it’s a balance Adam, we’ve picked off the low hanging fruit for what we can move to our low cost areas, but we are always evaluating product categories that we have in our existing facilities. The bigger benefit becomes one we can pickup some acquisitions again that a similar products to ours and consolidate them in. And that’s been really where we have seen probably over the last couple of years more of the benefit that’s happened there. We have beefed up the Larry mentioned early the R&D efforts and to increase the manufacturing, so that’s helping us in that area also. So we think we have a program in place from increased manufacturing, that’s really going to drive it what our engineering efforts do continuously improve margins in Engine Management and also in temperature control.
Adam Brooks – Sidoti & Company: And can you give us an update maybe on Orange Electric I know it’s nothing huge right now, but just kind of your updated thoughts there?
James J. Burke: Yeah, sure thanks. We are very pleased with how it’s going. It’s a very rapidly growing market, the forecast was 300% increased in five years to the market. We have a relatively slow market share. So we’re looking at nice increases. I think more important for the long run. We are a 25% partner in this business, we are developing very fine working relationships with the company and we are very pleased here. So we think this has a very nice future for us.
Adam Brooks – Sidoti & Company: Thank you.
Lawrence I. Sills: Fair enough.
Operator: (Operator Instructions) We will take our next question from the side of Robert Smith. Please go ahead.
Unidentified Analyst: Good morning. Hello?
Lawrence I. Sills: Operator, we are not getting anything. Erica?
James J. Burke: Erica, are you there?
Operator: Okay. We will go next to the side of Efraim Levy, S&P Capital IQ.
Lawrence I. Sills: I am sorry we do not hear that call. Is that all right?
Operator: Yeah. And Robert if you are still on the queue or you still on the call, can you please go ahead and re-queue your line please?
Unidentified Analyst: Okay. Thank you. Sorry, continue.
Operator: Okay. We will go onto Efraim Levy go ahead and we will wait for Robert to be queued.
Efraim Levy – S&P Capital IQ: Okay, thank you. Yesterday Polk reported its forecast for growth of the zero to five years and the 12 plus year old vehicles, but a decline in 6 to 11 year old vehicles. How does that plan to your strategy and your ideal market mix?
James J. Burke: I’ll take it. Well again that’s also important I would have to see if one balances out against the other, but I think the basic overall is that all thing is growing and that the average car population continues to grow and we just heard that it sort of edging more towards 12 that maybe where you got that. So they are both on markets, 6 to 11 above the 11, that’s our market and the total is growing and that’s find by us.
Lawrence I. Sills: The only other point I would comment on is that, while they are measuring that 6 to 11 and in fact declined slightly to some – it’s been a speculation – then move more towards economy lines because now they crossed over 11 years, but it is a balance, it’s a very broad category offering that we have.
Efraim Levy – S&P Capital IQ: Okay. And in terms of the acquisition pipeline are you seeing any opportunities what the environment for what are you looking for?
James J. Burke: Well, generally we are pleased with how the acquisition strategy is going, we’ve tried to it carefully and kicking companies that are essentially related, but also gives us new manufacturing possibilities, new market possibilities, but always staying relatively close to what we do, that has proved to be very successful the last five we did, I am very pleased with all of them. So with that in mind, we continue to look I think we have developed a very good expertise in integrating these things, we’ve done pretty good at that, and our balance sheet is healthy. So yes we’re looking, but we will always look carefully.
Efraim Levy – S&P Capital IQ: Right, I mean, are you seeing the availability of opportunities, do you see a lot there or is it fewer now than you were before? We just had a bunch of acquisitions or not there to choose from or it just takes time?
Lawrence I. Sills: It takes time. Obviously as you complete there is some consolidation as few are out there, but again we have a long list of suppliers and opportunities that we look at. The key is we want to stay within our two major product categories with the products we know and the customers we know and hopefully we’re able to develop some believe if they come to fruition.
Efraim Levy – S&P Capital IQ: Great, thank you.
Lawrence I. Sills: You are welcome.
Operator: Okay. And we’ll go next to side of Robert Smith. Please go ahead.
Lawrence I. Sills: Erica, we can’t hear from this…
James J. Burke: We can’t hear it.
Lawrence I. Sills: If somebody can repeat it perhaps.
Unidentified Analyst: Hello?
Operator: (Operator Instructions) Okay, Mr. Burke at this time we have no further questions.
James J. Burke: Okay. Thank you. Erica. I want to thank everyone for joining our call today. Good bye.